Operator: Good day, everyone, and welcome to the CSC First Quarter Fiscal Year 2013 Earnings Conference Call. Today's call is being recorded. For opening remarks and introductions, I would like to turn the call over to Mr. Steve Virostek, acting Head of Investor Relations. Please go ahead, sir.
Steve Virostek: Thank you, operator, and good morning, everyone. Welcome to CSC's first quarter 2013 earnings call and webcast. This morning, CSC issued our earnings release, and I do hope you had a chance to review that document. On the call with me today are Mike Lawrie, our Chief Executive Officer; and Paul Saleh, our Chief Financial Officer. As usual, this call is being webcast at csc.com, and we've also posted slides to the website, which will accompany today's discussion. Turning to Slide 2, some of the matters which we discuss on the call will be forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties which could cause actual results to differ materially from those expressed during the call. A discussion of risks and uncertainties is included in the Risk Factors section of our Form 10-K, 10-Q and other SEC filings. On Slide 3, we acknowledge that CSC's presentation includes certain non-GAAP financial measures, which we believe provide useful information to our investors. In accordance with SEC rules, we've provided a reconciliation of these metrics to the respective and most directly comparable GAAP metrics. These reconciliations can be found in the tables of today's earnings release and in an appendix through our web slides. Both documents are available for your review within the Investor Relations section of the website. Finally, I'd like to remind our listeners that CSC assumes no obligation to update the information presented on this conference call, except, of course, as required by law. Moving to the next slide, I'd like to introduce Mike Lawrie.
J. Michael Lawrie: Okay. Thanks, Steve, and welcome, everyone, and thank you for your interest in CSC, and joining us this morning. As Steve said, I am joined here by Paul Saleh. I really have 4 messages that I would like to leave you with this morning. And then I'll develop each of those messages in a little more detail. But first, we are beginning to see some early signs of an improving financial performance. The second key message is that we are putting some very strong turnaround actions in place and are beginning to execute against those actions. The third message is we still have, as I've said many time, a lot of work ahead of us to be done, and we do see some market uncertainties. And the fourth key message I'd like to leave you with this morning is that we are trying to be very clear and very transparent about our performance and to try to clear up as much of the ambiguity around our performance as we possibly can. So I'm going to delve into a little more detail on those messages, and then I will turn it over to Paul, who will go through a little more detail of the first quarter results. And then as always, we'll open it up for some questions and answers. So let me just develop the first key message here, that we are beginning to see some early signs of improving financial performance. One, our sales were very good in the first quarter. We had new business awards of $4 billion, which were significantly better than the same period a year ago, up 74%, with very strong signings in our MSS business, $2.2 billion, and that included 20 new logos or 20 new customers. One of the major contracts we signed was with Alstom, which is a world leader in power generation. And this is -- I'm singling this out because this was a very large cloud and global infrastructure services win for us. And I think it begins to validate our increasing strength in cloud computing. Revenue was up around 1% in constant currency to about $3.96 billion. As we had anticipated, the commercial growth that we saw in the quarter was offset by a decline in our NPS segment. For the full year, I continue to expect NPS revenue will probably decline by mid-single digits, as we've talked about before. And on the commercial side, we expect sort of flattish revenues, primarily due to some of the market headwinds, but also resulting from our increased focus on profitability and our increased focus on our portfolio of contracts. We also reported very strong improvements to our cash flow. Free cash flow was a negative $25 million, which is about a $378 million improvement year-on-year. This improvement came primarily through a higher cash flow from operations, improved working capital, but also reflected the fact that we made substantially less bonus payments in the first quarter. Profitability was solid. We really are beginning to realize some improvements from our focus on contract management discipline, as well as some early initial returns from our cost takeout program. Operating margins of 4.6% showed a strong sequential increase and a slight year-over-year increase. MSS margins showed a marked improvement, again primarily due to our contract discipline on many of our focus contracts. NPS margins were slightly down, and the BSS margins declined year-on-year. In many meetings I've had with you, many of you on the phone today, I know there has been some confusion relating to CSC's fiscal year '12 baseline of profitability. And as a result, our plans for improvement off of that baseline. Paul is going to go through that in a little more detail today and then, if necessary, again when we get together on September 10. But I just wanted to reiterate that we are continuing to target a 200 to 300 basis point improvement to our operating margin before corporate G&A. So no change to that target. And then, finally, from a financial standpoint, our earnings per share were $0.26, which we were pleased to see and largely a result of the aforementioned items. The second key message I wanted to leave you with today is that we are taking some very strident, strong actions that we're beginning to execute on against our turnaround plan. One is our troubled contracts or our focused contracts. I think, as we've spoken in the past, we identified 35 to 40 contracts that were underperforming and that we were focused on. And since that time, our focus has really resulted in significant improvement across many of these accounts. We've implemented remediation actions for all the accounts. And in some instances, these actions include new leadership, transition controls, stronger program management disciplines. And as I said before, this is monitored on a weekly basis. And there has not been a lot of change to that list, which is good news. So we're still focused on the same ones and don't have a lot of new ones coming on to that list. And additionally, a lot of the new contracts that we have signed, or all the new contracts that we've signed in the first quarter, were beginning to follow the same disciplined program management approach. So we're getting comfortable that the new contracts that we are signing are adhering to the disciplines that we are applying to those contracts that we are focused on as underperforming. We made good progress with NHS. We're continuing to work with NHS. And during the quarter, CSC achieved a key milestone with Lorenzo care management software. We delivered this new software to 3 trusts in the United Kingdom. And as a result of making that milestone, NHS has agreed to pay us for that milestone. So that's very good news as we continue to move forward with NHS. The billion dollar cost takeout program that we have talked about in the past, we have initiated this cost takeout plan. We expect to realize this $1 billion over roughly an 18-month period of time. And this plan includes not only the contract performance, which I just mentioned, but also a whole series of other cost and expense actions. And Paul will take you through that in a little more detail. We've also, as part of our turnaround efforts, simplified our operating model and have brought a lot of new leadership into CSC. So we have now begun the initial implementation phases of a much simpler and clear operating model that will allow us to respond much more quickly to market change and client needs, make decisions faster, as well as reduce costs and inefficiencies that were in the previous operating model. On, I think, our previous earnings call, I'd indicated that you could expect more management changes. And I'm pleased to report that we have been able to attract some fantastic talent to our top leadership team. As you know, Paul Saleh's joined us as CFO; Sunita Holzer is our Chief Human Resource Officer; Gary Budzinski is the Head of our infrastructure business. Earlier this week, we announced that Tom Hogan is the new President of our application services. And we promoted Dave Zolet to be the President of our NPS segment. So significant changes to the top leadership team here, and very, very pleased with the level of talent that we have been able to attract to CSC. When we get together on September 10, I'm going to share more details about the new operating model, what our intentions are in terms of standardizing many of our services' offerings and our ability to scale those on a more global basis, as well as our transition to cloud computing, our investment efforts around cyber security and the standardized global processes and support functions that will drive greater efficiency, help us take cost out of the business and also improve our go-to-market model. So we will go in much greater detail on some of these turnaround actions when we get together on September 10. The final message is, as I said, we still -- or not the final message, but we still have a lot of work to do here. We've taken some strong actions on many fronts. I think the first quarter reflects some of those early returns. There's a lot to be done, but I am encouraged by the improvements. And I am most encouraged by the enthusiasm and the passion and the energy that the CSC employees are putting behind this collective effort to get our business on a different trajectory. So we're executing with urgency. We do continue to see some headwinds out there, most notably Europe. And in the federal government, in Europe, we are beginning to see some impact, particularly to our consulting business. As you know, we've taken steps to restructure our business operations in the U.K., in the Nordics and in Germany to reflect some of the headwinds that we anticipate as we go through this fiscal year. On the federal side of our business, we clearly are seeing delays in award decisions, as are many of our competitors and other participants in this industry. And we expect that this continuing resolution and the potential impact of sequestration will continue to create an environment of uncertainty for many of our federal customers, and that will cause some delays in contract signing. So those are the 2 primary headwinds we see as we go through this fiscal year. The final message before I turn this over to Paul is that we want to be very clear and very transparent about our performance and about our accounting and about our business. With respect to the audit committee's independent investigation into our accounting errors, the committee has determined that independent investigation is complete. Since the filing of our fiscal 2012 10-K, the independent investigation did not identify any new accounting errors, although our 10-Q will identify certain items that management believes could result in immaterial changes in the amount and allocation of period adjustments for fiscal 2013 in prior years. So the independent investigation has been completed. We'll continue, of course, to work with the SEC investigation and are cooperating fully as that goes forward. Paul will, when I turn this over to him in a couple seconds here, will articulate our baseline performance for fiscal '12 results. There was some confusion over that. And I think this will provide a much clearer starting point so that you can measure and track our financial performance as we go through this year. I think the baseline will be important as we describe the financial targets for each of the stages of our turnaround program when we get together at our Investor Day in New York in September. But again, our goal here is to be clear and as transparent as possible so that you have a full understanding of our plan and can track our progress and challenges as we go forward. So with that, Paul, I will turn it over to you.
Paul N. Saleh: Thank you, Mike. And I'm pleased to be part of CSC during a time of significant transition. We have great assets to build on. We have a strong and loyal customer base and unique intellectual property across many of our businesses. As Mike mentioned, in the coming months, we'll be sharing with you more details about our plans to reduce the company's cost structure, improve our performance and strengthen our financial position. But today, my comments will focus on the first quarter results, and I'll also discuss our liquidity and our cash flow position. And I will comment on our $1 billion cost takeout program and provide greater clarity around our fiscal 2012 baseline EPS and margins and provide some fiscal 2013 outlook. So on the next slide, let me begin with our first quarter results. They're summarized on Slide 10. We reported revenues of approximately $4 billion, which is up 1% on a constant currency basis. Our operating margins in the quarter were 4.6%, relatively in line with the prior year but up strongly sequentially. EPS was $0.26 per share compared with $0.41 last year. Last year was adjusted to exclude a one-time tax benefit. Now, our tax rate in the quarter was close to 43% due to our mix of earnings and the impact of foreign earnings coming from jurisdictions where we have a valuation allowance. For the full year, we expect our effective tax rate to be in the range of 32% to 36%. Our free cash flow was negative $25 million in the quarter, but that is $378 million better than last year. And I'll have more to say on that later. On the next slide, let me turn to our segment results, starting with our public sector business. Our total NPS revenues were $1.37 billion for the quarter and represent 34% of our total company revenues. Revenues from Department of Defense contracts accounted for 67% of NPS revenues in the quarter and were down 9% year-over-year, primarily due to contract and task order completions during the past year. Revenue from civil agencies accounted for 29% of NPS revenues. Civil revenues declined 4%, primarily due to reduced scope on existing contracts and the timing of certain contractual milestones. But for the full year, we still expect NPS to be down mid-single digits, reflecting the continued uncertainty surrounding government budgets. NPS operating income was $101 million in the quarter and operating margins was 7.4%. Net NPS bookings of $900 million were in line with the year-ago period, and about 43% of those bookings came through our IDIQ contract vehicles. Turning now to our Managed Services segment, which is on the next slide. Revenues were $1.64 billion and accounted for 41% of the company's total revenues. Revenues in MSS were up 1% year-over-year, but up nearly 5% in constant currency. We benefited from new client engagements and the acquisition of AppLabs, which helped offset contract completions and modifications. MSS operating income of $95 million increased by $86 million compared with the prior year. The increase was driven by significant improvement in the performance of our focused list of contracts, which partially offset a workforce restructuring charge of $13 million in the quarter. Operating margin rebounded to 5.8%. MSS bookings of $2.2 billion were substantially better than a year ago due to new contracts such as Alstom, and Mike mentioned that, as well as contract awards from leading financial service providers in the U.S. and an important contract award in Europe. Turning to our Business Solutions & Services segment. Our BSS revenues were $985 million in the quarter, or 25% of the total company's revenues. BSS revenues increased 2.5% year-over-year on a reported basis and were up 7% in constant currency, as a result of the iSOFT acquisition and revenue growth from NHS. iSOFT contributed $54 million during the quarter. And CSC successfully deployed, as Mike mentioned, the Lorenzo care management software at 3 NHS trusts. BSS operating income was $16 million. That was a decline of $41 million year-over-year. That was due to a iSOFT dilution of $28 million and a workforce restructuring charge of $14 million. Operating margin was 1.6% in the quarter. Our BSS bookings of about $900 million were in line with the year-ago period, where virtually all of these contracts came from new customers. Let me move on to our cash flow performance in the quarter. On the next slide, you see that our free cash flow was negative $25 million compared with a negative $403 million in the prior year. Free cash flow improved primarily due to better working capital performance. CapEx was down $123 million year-over-year, as a result of tighter discipline around capital spending. On the next slide, we have highlighted a few balance sheet items. We ended the quarter with a cash balance of $1 billion. Accounts receivables, excluding tax receivables, were $3.2 billion, down about $700 million from a year ago. As a result, our DSOs were 72 days, an improvement of 15 days year-over-year. About half the improvement was due to a settlement of claims with the U.S. government, with the remainder stemming from operational improvements across the company, including better collections. Now our DSO, excluding unbilled receivables, were approximately 42 days. Our debt maturity schedule is also shown on the slide. We have $300 million of term notes coming due in February and $700 million maturing in March of 2013. We have $1 billion of cash on hand, as I mentioned earlier. $316 million of that cash is in the U.S. $684 million is in -- is offshore. I want to stress that a substantial amount of the cash held outside the U.S. can be made available to us in the U.S. through the settlement of intercompany loans in a tax-effective manner. Now, we also have access to the capital market, as well as access to our $1.5 billion credit facility, which is undrawn, which all of these, then, gives us ample financial flexibility to address the upcoming debt maturities. Next, on the following slide, I will comment briefly on our progress to take $1 billion out of our cost structure over the next 18 months. Now, we're focusing on a number of areas, which we've listed on the slide. First, we expect continued improvement from our focused list contracts. We'll develop an economic plan for each of these contracts to improve the performance. Our results in the first quarter clearly shows that we're off to a great start. Our objective is to achieve $100 million to $200 million improvement in profitability in fiscal 2013. Another area of opportunity is in sourcing and procurement. We are following a two-pronged approach to extract greater savings there. We're consolidating our procurement spending with fewer vendors, and we're negotiating better terms with those vendors. We are also instituting a demand management program across the company to ensure compliance with our preferred vendors. And we're ensuring that purchases are only made when needed or required contractually. Third, we have efforts underway to optimize our workforce utilization. We've taken actions already in the quarter in select markets to restructure our workforce. And we're looking at opportunities to better leverage our low-cost, offshore resources. Now, IT rationalization should also lead to cost savings as we standardize our IT tools and systems. And we believe that greater G&A efficiencies are there and should contribute to our savings targets as we implement efforts to consolidate our real estate footprint also across the company. Now the collective impact of these activities should be $500 million to $600 million reductions to our cost structure in 2013 -- fiscal 2013. And most of these savings should fall to the bottom line. Now before I conclude my remarks, I'd like to clarify CSC's baseline performance for 2012. So on the current slide, we've adjusted fiscal 2012 results for special items. On that basis, EPS for fiscal 2012 would have been $0.67 with an operating margin of 3.4% and an EBIT margin of 2%. Now, you can refer to the appendix for a reconciliation of those -- for those numbers. For fiscal 2013, we expect an improvement of 200 to 300 basis points to operating and EBIT margins, consistent with what we shared with you previously. The improvement is driven by our $500 million to $600 million cost takeout program, and will be partially offset by a combination of customer-committed savings and reinvestments in the business. As a result, we're targeting an EPS of $2.10 to $2.30 for the year. And we're assuming a tax rate of 32% to 36%. We're also targeting free cash flow in the range of $300 million to $350 million. So in summary, we're off to a good start for the year. We have a number of actions underway to improve our profitability and cash flow. We still have a challenging road ahead, but we're encouraged by the early signs of progress that we're seeing on our transformation journey. And with that, I'll turn it back to Mike for closing comments.
J. Michael Lawrie: Okay. Well, thank you very much. And I think what we'll do here is open this up now to Q&A, right, Steve?
Steve Virostek: Yes.
Operator: [Operator Instructions] We'll take our first question from Bryan Keane with Deutsche Bank.
Matt Diamond - Deutsche Bank AG, Research Division: This is actually Matt Diamond on for Bryan Keane. And the one question -- actually, a couple questions I have, one is the free cash flow. Historically, CSC has had 3 -- first 3 quarters of any given fiscal year have been very negative free cash flow quarters followed by a fourth of pretty substantial improvement. Would you still expect some wild swings in the free cash to get to the $300 million to $350 million guidance? And what exactly can you do to iron out the lumpinesses of the free cash flow?
Paul N. Saleh: Well, the first quarter, actually, as Mike mentioned, benefited from the lack of bonus payments in the -- which was helpful. But actually, what you've seen us has also put a whole lot more discipline around CapEx, which is one of the reason why you saw also the improvement in cash flow in the first quarter. I would expect slow, over time, some lumpiness. But I think we should see some steady improvement again in free cash flow throughout the year.
Matt Diamond - Deutsche Bank AG, Research Division: Okay, great. And the -- I want to touch on those troubled contracts that were mentioned. The -- I know that there were -- said about 35 to 40 of them. We've heard from your competitors that the pricing environment's been pretty stable. If you are renegotiating some pricing terms, how is that going? And are you seeing any headwinds maybe from the weakening macro and a little bit of uncertainties that were mentioned?
Paul N. Saleh: Yes. I think, as we've said before, we're doing a number of things. It's not just renegotiating, but it's going back and applying much greater discipline to many of the contracts we have now. In some instances, where there were changes made, they were never billed. We're collecting those. And in some cases, we're sitting down and trying to work out a win-win between the client and us. Sometimes that might result in a little less revenue but more profitability. So we're using all the tools and procedures available to us and applying that sort of a one-by-one basis with those 35 or 40 clients. And then we're applying the same project disciplines and bidding disciplines and contracting disciplines for all of our new awards as we go forward. So we try to minimize the number of problems we encounter going forward.
Matt Diamond - Deutsche Bank AG, Research Division: Okay. And last one, on the operating margins, good results at 4.6%. And the FY '13 guidance of 5.4% to 6.4% would imply it -- seem like a pretty nice expansion in the second through fourth quarters. Is that the right way to think about that? And what is the margin trend quarter-by-quarter? How should we really think about that to get to the 5.4% to 6.4%?
Paul N. Saleh: Yes. I think you'll see more of this in the second half. I think that's right. Part of this will be determined on how some of these cost savings begin to flow through, through the year. As you know, you start some actions like what we're doing at procurement, but some of that doesn't show up until later quarters. And to be quite candid about it, I'm not exactly sure how this is going to flow quarter-by-quarter. But I think the way you articulate it is the way I would think about it.
Operator: We'll take our next question from Julio Quinteros of Goldman Sachs.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: So real quickly, just on a couple of items. The free cash flow number for the year, is that -- are there any adjustments on that? Or is that -- should we just take that as kind of a straightforward operating cash, less CapEx number? Are there any other definitional adjustments they consider in that number?
Paul N. Saleh: No, there are no definitional adjustment. In fact, that is literally -- I would always define free cash flow. And I will add also another thing that would -- also, we're working very hard to continue to improve our working capital management and our receivables collection. So that's -- you're going to see improvement in free cash flow.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Okay, great. And then, so maybe, is there a way to think about that target, the $300 million, $350 million for the year, if you think about the relative improvements on the NHS side versus the core business? Can you help us decompose a little bit on what's coming from NHS improvements? So for example, this quarter, presumably some of the cash came from the Lorenzo payments. How do we think about for the full year in terms of core business free cash flow versus the NHS itself?
Paul N. Saleh: Right now, the NHS is actually operating at breakeven if -- and we still have, as we mentioned before, people working on NHS, and we're expensing [ph] all of these costs. So NHS is not contributing to improve cash flow performance, per se. I think all the improvements I mentioned to you is a greater discipline around capital allocation across the company. We're asking -- we're putting some hurdles for cost of capital for our -- every project. We're seeing, as we've talked about, improvement in our contract -- less-focus contract, that's a major improvement on a year-over-year basis. And as the year progress, we're going to see the benefit of some of these costs, the actions that we are taking to start to flow through the cash flow line.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Okay. And then just to be clear, so none of the NHS Lorenzo-related work in terms of cash flow for this quarter was a benefit to your free cash flow result this quarter?
Paul N. Saleh: Not really.
Operator: We'll take our next question from Moshe Katri with Cowen & Company.
Moshe Katri - Cowen and Company, LLC, Research Division: Maybe you can talk a bit about how do you plan to leverage your offshore presence? Obviously, CSC gained that presence via an acquisition and some of the things that you've done in the past, but we talk about the challenges in terms of getting there. And then, it seems that you're making some pretty impressive improvements on margins, especially -- I'm assuming you're going to get to that -- those numbers by the end of the year. What needs to happen for CSC to kind of -- for the company to go back to historical, I don't know, 7% to 8% EBIT margins down the road?
J. Michael Lawrie: Okay. So one on the offshore. We've got plenty of resources offshore. We have 23,000 or 24,000 people in India and other places around the world. The issue has been, as I dug into this more and more, is we don't utilize enough of that capability in the actual contract delivery. So we tend to source a lot of the delivery with local resources, not fully utilizing the offshore resource. So it's not like we have to go scale up offshore resources. That's not the case. What we need to do is utilize them more. And that's one of the reasons why we have made a change to our global infrastructure business, because our global infrastructure business was very regionalized. And now, as the name would denote, it is going to be moved to a global footprint. That global footprint will allow us to better leverage the skills and capabilities we have around the world. So that's how we're going to get at utilizing this very valuable offshore resource. And that, over time, will have an impact, obviously, on our margins, a positive impact on our margins. Does that answer the question?
Moshe Katri - Cowen and Company, LLC, Research Division: Yes. And then the final question. You didn't make any comments or -- on your guidance regarding revenues for fiscal year 2013. Should we assume that the revenue base for the entire company is probably going to shrink, at least in the near term, as you continue to focus on kind of pruning [indiscernible]...
J. Michael Lawrie: Yes, I think you're right. I think it will be sort of flat to maybe slightly down. Our focus, as I said, is in to improve our profitability. So if we cannot get to a return that is -- includes our cost of capital, we're not comfortable with the risk profile of the contract. We are not going to chase revenue for revenue's sake. We have a lot of opportunities out there. We think there's plenty of profitable opportunities out there. If you look at the margins of our competitors, they have significantly better margins than we do. I think this is less a demand statement, notwithstanding some of the headwinds we have in Europe and the federal government. It's more of a discipline and disciplined approach to how we can track and how we manage the delivery of the services that we contract for. And that's what we are focused on, is to get that foundation, that base in place, get comfortable with the results, then you can begin to go after more revenue growth once that foundation's in place.
Operator: We'll take our next question from Keith Bachman with Bank of Montréal.
Keith F. Bachman - BMO Capital Markets U.S.: I had a couple as well. Specifically, on the profitability of BSS, if you could just talk a little bit about how that improves, and specifically addressing iSOFT seems like a pretty big headwind there. How does that margin improve for the carrier of iSOFT?
Paul N. Saleh: Well, I think it's through a combination of factor, obviously one of them being NHS getting this resolved over the next couple of quarters. On the iSOFT, it is a drag and it will remain a drag in the second quarter. But after that, part of it is VSOE under the new software rules. And that we have to establish enough fair market pricing for some of our individual components of the -- for the software versus the services that we render within iSOFT. So we should see an improvement in the profitability of iSOFT in the second half of the year. I mentioned the $28 million of drag on profitability in the first quarter. I would suggest that it will be probably more like a breakeven by the end of -- by the time of the third and fourth quarters. So that would be a major improvement there. And I think, we'll hopefully again, we will not have the breakeven performance on NHS, then we'll be able to just start to see some improvement there. And then also, all the cost drive -- all the cost actions that we are taking should also benefit our BSS segments.
Keith F. Bachman - BMO Capital Markets U.S.: Right, okay. My second question, then, is related to Slide 18, where you identified some of the cost actions, called $600 million at the top end, and then some of it's reinvested, call it $250 million at top end. When you indicated that you had $1 billion of cost actions, if we thought about the flow through then for the following 6 to 12 months, are the ratios roughly the same? And what I mean by that is, if you have another $400 million or $500 million of cost actions to take, will, call it 2/3 of that, be available, you think, to flow to the bottom line? Is that the right way to frame the opportunity?
J. Michael Lawrie: Yes, I think that is not all that far off in a way of thinking about this. What we're trying to point out here, and I don't know what it is has been made visible before, but we have contractual agreements where we have cost takedowns every year. So what we're -- one of the disciplines that I'm trying to get with Paul in this company is that we need to improve our efficiency every year just to cover those contractual cost takedowns. And that's one of the things that we have not been particularly good at, is building that into our plans and then offsetting that. So what we're trying to show here is how we're thinking about that and I view this as an ongoing thing. So I've said $1 billion over 18 months. Clearly, we should be at a higher run rate as we exit fiscal '13 than we are right now. And then we'll be able to share with you, on a regular basis, certainly on an annual basis, what we think those cost takedowns are going to amount to. We'll also make some investments. We're going to make some investments in some of our systems, for example, our financial systems, our contract management systems, our project profitability systems. So we're going to make some investments. But the bulk of these savings, yes, we intend to deliver to the bottom line as we go through.
Keith F. Bachman - BMO Capital Markets U.S.: Okay, fair enough. Then my last next question, Mike, perhaps particularly for you is, you've identified an EBIT margin of call it 4% to 5% for FY '13. If you think about benchmarking, which you're likely doing versus your competitors, if you thought about a longer-term model, whether it be for IBM in the relevant businesses or what have you, is there a longer-term model that you have in the back of your mind? If you want to share it now or talk about it more at Analyst Day, fair enough...
J. Michael Lawrie: We're going to talk a little bit more about that at our meeting in September. But yes, I want to give -- I'm going to give you, of my perspective on each stage of this turnaround, what we ought to expect to see in terms of margin expansion, and then what I think sort of a -- more of a steady state model for this company is. I don't accept out of the blocks that we have to be substantially worse than our competitors. Our competitors have figured out how to return more capital to the investor base. They figured out how to get a better return on investment capital and they figured out how to run their operations more efficiently, though they can expand their margins. And I think we, at CSC, aspire to be more like those winning competitors in the market rather than try to continually explain why we are different. We do have a federal business, as you know. There's a top end to what you can do from a profitability standpoint before you attract a lot of attention. But yes, that's all real. But I don't accept that our commercial business has to be so subpar to our competitors. I don't see we have this. Our people are as good. Our skills are as good. Our intellectual property is good. So I don't accept intellectually, as a point of departure, that we have to be substantially worse. But it will take some time to improve those metrics.
Operator: We'll take our next question from Rod Bourgeois with Bernstein.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: So on the problem contract front, you mentioned that a bunch of new problem contracts have not been added to the problem contract list. Can you give a more specific update on the exact number of problem deals that you've identified and the percentage of revenue that's involved in those deals? You gave us that update last quarter. And then I guess, you've sort of -- as you comment on that, can you give us a perspective on whether you think you've scrubbed sufficiently such that you think the new -- that the problem deals have now been fully uncovered?
J. Michael Lawrie: Yes, let's go through that. That's a good question, obviously. I -- we are not seeing a lot of new problem accounts. We're always going to have some problem accounts. You know that as well as I do, but just not 35 or 40 of them at the same time. So we are not seeing a lot of new ones. And I attribute that primarily to the fact that we are managing these much more diligently from the very beginning. So a lot of the transition services that we provide, for example, we're spending a lot more time and focus on understanding what the risk factors are and mitigating those risks before we start the contract. We are making sure that we have qualified project managers and account executives on these big deals before we get started. If we're doing a contract that is somewhat new to us in our new geography, we are supplementing the local team with experts from around the company that have had that experience. So all of that is what I sum up around the whole contracting and delivery discipline process. And as a result of that, we are beginning to tackle some of these issues before they become issues. In terms of the total numbers, 35 or 40, what does that represent in terms of total revenue to the company? It's somewhere in the neighborhood of probably $3 billion, Rod. Think of it and that's roughly the zip code of the revenue there. And we're trying to, as we've talked about before, generate $100 million, $200 million of improved profitability off of those contracts by a various set of means that I have already articulated on this call. Does that get to your question?
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: Well, I was just wondering if you could specify a number. I mean, have 2 or 3 new deals been added to the list or...
J. Michael Lawrie: Yes. Well, basically, we probably, of the original 35 or 40, we've probably had 5 or 6 that we've sort of taken off the list that were comfortable now. We've got what we call an economic game plan in place. And we've had enough months of execution that we're not monitoring that on a weekly or daily basis. And we've probably added 3 or 4 to that list as we've gotten in and looked at these earlier on, we've said, "Wait a second, we see some risks here. Let's get on this now." So over time, what I'm hopeful is this list, if you will, begins to morph from troubled contracts, if you will, to contracts that we want to focus on because of their risk level or because of some other unique things that we want to manage upfront rather than wait until they become troubled and go on a troubled contract list. So it becomes more of a proactive approach, Rod, as opposed to a reactive approach. And to be quite candid, we're still more in the reactive mode than the proactive mode.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: Understood. And then, as an extension of that, in terms of the root cause of CSC's past inability to know that it had 40% of revenues from problem deals, I know we were worried for a long time that the problem contract risks were very high, and CSC refuted that. So in terms of the root cause of why the problem contracts were not sort of known within the company, was that a case of the prior management team being in a phase of denial? Or was it a situation where the company just literally didn't have enough information to know the underlying performance on these deals? And I ask that, Mike, because I understand the operational root cause is the problem deals. But investors are looking for some clarity on whether the informational gaps are fixed such that we're not in for big negative surprises going forward just because of a lack of information or a lack of sort of awareness of what's happening.
J. Michael Lawrie: That's an excellent question. I mean, the truth is, from my perspective, CSC had very good processes and procedures in place. And my analysis is, for whatever reason, they stopped following those processes and procedures in a disciplined way. And I think that occurred, Rod, when we began to move from a global delivery approach to a regional delivery approach. We fractured that, and not only did we not follow those same disciplined processes, but the information that was flowing more on this fragmented basis was much more difficult to collate and get together quickly so that you could respond before you had problems. So as I've said, we've made substantial changes in how we manage this stuff. So we have a deal qualification process now. It requires very strict approvals from our industry people, our salespeople, as well as the offerings people. And we are absolutely enforcing that discipline. There's a pre-bid review and approval. So we're not getting into bids that we just are not comfortable that we have the skills or the capability to deliver against, or we just don't like the margins. And then, once we are successful on closing business, and we, as you saw this quarter, we closed quite a bit of business, then we immediately move into the contract execution process. So the people that were part of the capture team, the people who were part of the contract negotiation now will stay with that contract as we begin to move into the execution phase. So it's not one thing that caused these problems. It was a number of things that got out of sync that needed to be brought back in, needed to have a full transparency, put sunshine on them and make sure that we manage them with a much greater sense of discipline. That answer your question?
Operator: We'll take our next question from Tien-Tsin Huang with JPMorgan.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: I'm curious. The financials did get a lot better, faster than we had expected. And I'm curious, Mike, maybe just a high-level question. At this point of your tenure, any big surprises that has -- that stand out in your mind, given what we've seen here with the results and where you are, sort of quarter-to-date?
J. Michael Lawrie: Yes. I -- again, I'm not overly as I -- well, let me back up. First of all, I have said from the very beginning that most of the problems that I saw at CSC, I have seen before in my career and were fixable. And I still absolutely believe in that. I will say that there are a lot of issues. As I just said with Rod, there was discipline that was lost in the system, and that showed up in deteriorating performance over a period of time. And this did not happen in 1 year or 1 quarter. As Paul and I went back and we looked at CSC over the last 5 or 6 years, I mean, there was a deteriorating performance along the way, not only in terms of margins but free cash flow. I mean, our return on capital, there was just a steady deterioration. And then CSC got to a tipping point last year when a couple of really bad things came to life all at the same time, most notably NHS. So we have embarked on this program to get these issues fixed. I am encouraged, but I would caution that there is a lot of work to do here. We have just gotten comfortable that we've identified most of the problems. I am -- and I'm very confident and optimistic that we've got our arms around what those problems and those issues are. I need more time, and that will be measured in quarters, not in weeks or months, before I get confident that we have got the right execution plans in place that we can deliver consistent performance over time. That is work, candidly, that is still ahead of us. But I feel very good about the people we have in this company, the skills we have, the passion, the willingness to adjust the business model so that we can provide better service to the client and better returns to our investors. Does that answer the question?
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Okay, good, good. No, it does. It does. So just, I guess following up on Rod's last question about the contract signings. I understand the quality is up. But you're also winning, right? So the bookings numbers have been good. So I'm curious if the sales approach has changed, because it sounds like being more disciplined isn't impacting the win rates. Am I reading that right?
J. Michael Lawrie: Well, it does impact in some cases. In some cases, it doesn't. I mean, I'll give you an example here where we had a bid that came in. I'm not going to name the client, but they wanted to bid this at x%. We said, "Well, there's no way we're going to bid at that operating margin. Forget it." And then you get all the emotional arguments. Well, the CEO is going to call you and the world is going to end. And I said, "Fine, have the CEO call me because I'm not going to bid something that doesn't return my cost of capital." And if he would do that to his board, I'm going to ask him to come down and have that discussion with my board. So we went back out, and we bid at the higher level we want. So part of this is just sticking to your guns and feeling confident that you understand your cost and you understand what your cost of capital is and you articulate that in the bid and why you're bidding what you're bidding, and making sure that you have the right cost recovery plans in place in the contract, in the execution of the delivery, so that you can deliver against that economic game plan. So I think there are cases where we're probably not bidding or where we're losing because we are not as competitive right now. But over time, as we take these costs out and we improve this margin, this allows us more pricing flexibility. And that will then allow us to compete for more deals in the marketplace. This quarter, we had a very good signs, but a lot of that was carryovers from some large deals that did not close last year that happened to close this year. So these booking numbers are notoriously lumpy as you go through the year. But the most important thing is that we're much more focused on booking business that we're comfortable we can execute on and we can make an adequate return, as opposed to just chasing revenue for revenue's sake.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Understood, understood. Last one, and I'll jump off. Just wanted to touch your confidence level in expanding the margins versus the revenue side of the equation. So maybe I'll ask, what kind of revenue do you need here to deliver on the $210 million to $230 million for the year?
J. Michael Lawrie: I think the revenues we're talking about here, basically flat to down. So with these cost actions, with the disciplines we're trying to put in place around the contracts, we could get to a 200 or 300 basis point improvement basically just by managing our book of business that we have today more efficiently, more effectively. Ultimately, go back to an earlier question that was asked, "Gee, what do you think the steady state returns are in this company?" Well, in order to get to a much more competitive position with some of the key leaders in the industry, yes, we will need revenue growth. So you can't save your weight of prosperity. But where we are in the first phase of this turnaround, we can make some significant improvements in our operating performance just by managing ourselves more effectively. But ultimately, you must get revenue growth. I'm a big believer that until you have a foundation in place that you've got confidence in, that you can execute and you can deliver against, it doesn't do you any good to grow, grow, grow, if you're not on a strong foundation. Because all you do is create bigger and bigger problems. And to some extent, that is what has happened to CSC, is chasing TCV and chasing revenue without the firm foundation in place to deliver against that.
Operator: We'll take our next question from David Grossman with Stifel, Nicolaus.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Actually, this is for Mike or Paul. Just looking at the cost savings for the year, the $500 million to $600 million, can you give us a sense of how much visibility you have on that number today? And if it's easier, perhaps, you can talk about the areas where you have the most visibility versus those that you have the least?
J. Michael Lawrie: Yes, I'll make a couple comments, and then I'm sure Paul will correct me. We have great visibility into some of the G&A reductions, for example. That's pretty clear. We've got budgets in place. We have identified that. I feel pretty comfortable with that. We've got very clear line of sight on the savings that will be generated as a result of the restructuring charges we took towards the end of last year and some of the restructuring charges that we ran through the P&L in the first quarter. We have very good visibility on that. And I have a high, high degree of confidence that, that will be executed. We've got pretty good line of sight against what we want to do from procurement. I don't have as much confidence that we'll be able to get all that done because that revolves around negotiating with vendors. It requires putting new processes in place where you consolidate buying, et cetera, et cetera. So we've identified it. I have a little less confidence in that. In terms of the goals that we've set for profit improvement on our contracts, I've got great visibility into what contracts there are and what we're trying to do. And over time, I will develop some confidence that we'll be able to execute against that. So I think it's a balanced view. I feel pretty good about that we've identified what we need to identify. And then we're still in the early stages of execution, so I have a high degree of confidence on restructuring actions that we've taken and some of the across-the-board G&A cuts. I have a little less confidence until I see more results around the contract performance and around some of the procurement savings we'd like to make. Paul, you want to add anything to that?
Paul N. Saleh: No, I think you captured it. Now you meant by contract performance, you mean the focus accounts.
J. Michael Lawrie: Yes, focus accounts.
Paul N. Saleh: I think it just -- in time, we've identified already the actions that need to be taken. I think that we're just really trying to make sure that they are being implemented, and we can kind of track the savings across the company. So we will have more visibility over the coming months. And we'll be updating you as we learn more.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then just looking at NHS for a minute again. I think Paul said it was running at breakeven, if I understood that correctly. At what point do we determine whether or not this contract is viable? And if so, if it's determined that it's not viable, are there going to be incremental cash costs to disengage from the work on new developing work?
J. Michael Lawrie: Okay, all right. So as you know, I have been personally working with NHS on this. And we are, I think, pretty close to getting towards a tenant agreement with NHS. Now once that gets done, we still have to have the government approval. So think of that as the cabinet office and so on and so forth in the U.K. government. And let me be clear, we do not have any approval at that level. But we have been working very, very hard, making sure we've got definition on what the offering is going to be, definition on what the pricing for that offering will be, definition on all of the outstanding puts and takes so that each side has been claiming and talking about. We've got very good agreement on that. We've got a lot of work that we've done on the forward approval process. So when trusts come into the NHS to get approval on their projects so they can be funded by NHS, that requires approval process. We've made a great deal of progress on that. So I think we are making very good progress on this. And I'm optimistic that we'll be able, at some point in time, to conclude. But we have not concluded as of today. Currently, we've got about 200 people or so in the U.K. that are an expense to us, that we do not have revenue to offset that expense. And we're running that through the P&L. We are not capitalizing on that. That's in our results this quarter. And yes, there is a certain period of time where you say, "Gee, if you can't get to a contract, what are you going to do with those people?" We have use for those people. We have good demand for our iSOFT software in other parts of the world. We have -- I have been reluctant to disband that U.K. team until we get to some conclusion because once you disband them, you don't get them back together. So once some go here or there to support other projects, you don't get them back. But I am quite comfortable that those people can be quickly deployed against revenue-producing opportunities. So either we get to a contract here. We can utilize those people. We begin to actively sell in the U.K. market. We begin to generate revenue. We begin to make money or we don't. And as you know, we took most of those charges last year. So I don't anticipate that we have any large cash charges associated with disbanding those people if that would be the point that we got to.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Okay. So the lever point in this whole thing that is getting revenue against the 200 people, one way [indiscernible]...
J. Michael Lawrie: Yes, the lever point is to be able to go out and compete in the trust in the U.K. And as you know, there probably 1,000 trusts out there. So the leverage point is we want to be able to go out and begin to sell our agreed-upon solution in those trusts. And the trust will come back and try to get approval for funding from NHS. That's what we want to get into. So we can begin to sell our offering and then begin to deliver that offering and then bill that offering and collect the cash of that offering. And that's why -- what we did last quarter, why I mentioned in my comments, where we shipped this care management module to 3 trusts and it went live and we have got agreement to be paid for that. That's a major step forward in our progress with NHS.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Okay, got it. And then just one last one for Paul. And you talked about the tax rate going up because of, I guess, the allocation of income geographically, among other things. Should we think about that as kind of a range, at least for the foreseeable future? Or do you think that's a temporary blip and you'll move back towards the 30% to 32% range?
Paul N. Saleh: No, let me explain it. This is much more a spend 18 [ph] type of calculation. It's much more of an anomaly in the first quarter. When you look at basically where our foreign income is coming from, so for example, if you have a loss position in the U.K., and we're sitting on net operating losses there. And so a valuation allowance, right? We cannot use the -- for U.S. purposes, you have to add back the loss in calculating your taxable provision. So it's just a calculation issue that makes a quarter like this one artificially high. So when you look at it, we have to add back on the calculation, take a federal and tax rate against it, so it overstates basically our tax. For the full year, we still anticipate the 32% to 36%, depending again on where that foreign mix of earnings will come from. That is not a long-term issue.
Operator: And we'll take our final question from Joe Foresi with Janney Montgomery Scott.
Jeffrey Rossetti - Janney Montgomery Scott LLC, Research Division: This is Jeff Rossetti in for Joe. I was just wondering if you might be able to provide an organic growth number, and maybe how Europe performs in the quarter?
Paul N. Saleh: Yes. I think we were -- this quarter, actually we did still relatively well in Europe. We have mentioned -- as Mike mentioned, we're starting to see some headwind. We're seeing some little of softness in the BSS business, on the consulting side of the business. But overall, this quarter, I think we were holding our own, and a lot of it having to do again with contracts we came into the year with. But the full year, I think we still expect what we said organically from the NPS business. We just gave you some guidance, a sort of mid-single digit decline, think of the commercial business sort of basically -- is basically flat to slightly down. And then we'll change that as if we would make some divestitures, for example. As I've mentioned on previous calls, we are taking a look at some of the assets we have to determine where they fit our longer-term strategy. But the comments we're making exclude any changes that we might make to our portfolio going forward.
Bryan Brady: Thanks, Jeff, very much. Mike, do you want to wrap it up?
J. Michael Lawrie: So again, thank you, everyone, for taking the time today and the questions. We are going to go into a little more detail when we get together on September 10. The plan will be for me to go through the game plan, the strategy, the turnaround plan, what I expect in the various stages here, the operating model, and go into a little more depth there. And then, what I've asked Paul to do will be to go through the financials in a little more detail of what you can expect going forward and then really a financial model. So how we are managing ourselves financially going forward, how we think about shareholder returns, how we want to manage that, how we want to think about that. And as a result, what kind of profitability and returns can we generate over the next several years as we continue through the turnaround programs. So that will be the primary focus of the Investor Day meeting, and I look forward to seeing many of you there, then. So thank you.
Operator: That concludes today's conference. Thank you for your participation.